Operator: Good morning. My name is Mike and I will be your conference operator today. At this time, I would like to welcome everyone to the FactSet Third Quarter Webcast. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] I'll now turn the call over to Rima Hyder, Vice President, Investor Relations. You may begin your conference.
Rima Hyder: Thank you, Mike and good morning everyone. Welcome to FactSet’s third quarter 2017 earnings conference call. Before we begin I would like to point out that this slide we will reference during the course of this presentation can be accessed via the website on the Investor Relations section of our website at factset.com. The slides will be posted on our website at the conclusion of this call. A replay of today's call will be available via phone and on our website. This conference call is being transcribed in real time by FactSet CallStreet service and is being broadcast live at FactSet.com. After our prepared remarks, we will open the call to questions from investors, to be fair to everyone please limit yourself to one question plus a follow up. Before we discuss our results, I encourage all listeners to review the legal notice on Slide 2, which explains the risk for forward-looking statements and the use of non-GAAP financial measures. Additionally, please refer to our Form 10-K and 10-Q for a discussion of risk factors that could cause actual results to differ materially from these forward-looking statements. Our slide presentation and discussions on this call will include certain non-GAAP financial measures, for such measures reconciliations to the most directly comparably GAAP measure are in the appendix to the presentation and in our earnings release issued this morning. This non-GAAP information should be considered supplemental in nature and should not be considered in isolation or as a substitute for the related financial information prepared in accordance with GAAP. In addition, these non-GAAP financial measures may not be the same as similarly entitled measures report by other companies. Joining me today are Phil Snow, Chief Executive Officer; and Maurizio Nicolelli, Chief Financial Officer. I'd now like to turn the call over to Phil Snow.
Phil Snow: Thanks Rima, and good morning, everyone. And thank you for joining us on our call today. We delivered third quarter results in line with our guidance and continued to grow ASV in a challenging environment. These market conditions are exactly why we've been on the steady trajectory to build out our enterprise solutions through innovation, acquisition, and partnership. Our clients need greater efficiencies and more of a unified ecosystem for their data and analytics, and we are fully engaged in a strategy to build end-to-end solutions across critical areas of the portfolio lifecycle. And as we move beyond the workstation to becoming more of a work flow company, the portfolio of lifecycle strategy expands the scope of FactSet solutions to create integrated work flows. As you can see on the slide, we think of the portfolio lifecycle in three main areas. Research, portfolio management and trading, and analytics. And in each of these areas, FactSet has a robust suite of products for our clients. And you can clearly see where our recent acquisitions fit into these areas. We believe the integration of these acquisitions and our continued product innovation will enable us to achieve higher growth. Let me now give you an overview of our third quarter results. Organic revenues and organic ASV grew 6% year-over-year, adjusted diluted EPS increased 13% to $1.85 at the high end of our guidance range, and adjusted operating margin was 32%. Like last quarter, our results were impacted by cost pressures within the industry as clients seek to lower their total cost of ownership. And as I just stated, we see this is an opportunity to partner with our clients and help them leverage technology to optimize costs. The cross-sell momentum across the portfolio lifecycle is picking up with multiple wins this quarter and a number of strategic opportunities in the pipeline. This quarter, we did see an increase in new business with solid wins from plan sponsors, hedge funds, and wealth managers, and our analytics and CTS suites performed very well along with strong sales from Portware, offsetting the positive factors and in line with the theme from the second quarter of cancellations from firm consolidations and failures. Our international business grew organically by 8% fueled by growth in Asia Pacific. With our recent acquisitions of BISAM and IDMS, which we’ve now renamed FDSG, we have increased our international footprint particularly in Europe. International ASV now represents 37% of our total, and Asia Pacific grew almost 11% over the last quarter and Europe grew at 7%. FactSet continues to focus on innovation. Year after year, we win awards for our software. Last year when we won best research provider, Inside Market Data said we were by far the industry leader, and in naming us best analytics provider they said portfolio analytics was always a best-in-class product. This year at the Inside Market Data and Inside Reference Data Awards, FactSet won the Best Market Data award for the first time replacing one of our largest competitors which had won the category every year since the awards were launched in 2003. FactSet this year again was recognized as best analytics provider. As we saw this quarter, we once again had strong growth from both our analytic suite as well as our CTS business. Both of these product suites have consistently grown in double digits over the last few years. And as we look to provide you with more metrics, the CTS business is one that is relatively easy for us to carve out and can give you more perspective on what's driving our growth. CTS now represents approximately 10% of our revenue and the success of this off platform business has taken us beyond the workstation model. A big piece of CTS today are our end-of-day and intraday feeds to power applications and solutions directly within a client's environment. However, our recent large investment in technology now provides us with the natural stage where client can build their own solutions and leverage third party applications and data within a hosted FactSet open environment. Wealth is another area that has consistently shown strong growth for us over the last number of years. The FDSG acquisition allows us to capitalize on the shift toward technology-enabled advice for all wealth segments. Investors are demanding digital tools that help to make investment decisions and provide flexible ways to interact with their advisors. Additionally, the regulatory requirements in this sector are a focus for clients. In combination with our analytics product and our unique content, we have the ability to provide our clients with powerful yet cost effective information for their investment portfolios along with servicing key work flows from regulatory document creation to distribution. As I stated last quarter, we are focused on integrating our recent acquisitions and ensuring that we can offer our clients a broad suite of solutions within the FactSet ecosystem. The integration efforts are going well and we've made significant improvements to date. These acquisitions along with our infrastructure upgrades provide FactSet with scale and drive cost efficiencies in the longer term providing us with an opportunity to expand margins. We remain committed to organic growth, and reacceleration of ASV is still the highest priority for us. At the same time, we continue to return value to shareholders. Over the last 12 months, we've returned over $458 million to stockholders in the form of share repurchases and dividends. We've recently increased our dividend by 12%. This increase marks the 12th consecutive year with increased dividends highlighting our continued commitment to our shareholders. We continue to invest in product development in high growth areas such as analytics; wealth trading, and our data feed business as we grow our work flow solutions. We believe we have a solid sales strategy in place under our new sales leadership to capitalize on the current market trends and increase our growth rate. As we look to the last quarter of the fiscal year for us, we remain confident with the opportunities we see to meet our targets and ability to capitalize on the market trends. Let me now turn the call over to Maurizio to talk about our third quarter financial results and fourth quarter outlook.
Maurizio Nicolelli: Thank you, Phil, and good morning to everyone on the call. In the third quarter, we continued to grow ASV and EPS and maintained adjusted operating margins within our guidance range. Before we get into the details of the quarterly results, I want to point out that our quarter-over-quarter comparisons were impacted by one-time costs of $4.4 million, primarily related to our recent acquisitions. Additionally, starting with this quarter, we will have a deferred revenue fair value adjustment from purchase accounting related to the recent acquisitions. This adjustment, totaling $2.5 million impacts our GAAP revenues and has been excluded from our adjusted results. Let's now go through the third quarter results in more detail. GAAP revenues in the third quarter increased 9% to $312 million and 6% to $294 million on an organic basis versus the third quarter of 2016. When adding back with deferred revenue fair value adjustment, revenues were approximately $315 million at the higher end of guidance. We have provided a reconciliation of GAAP to our adjusted metrics in the back of earnings release and slide presentation. Looking at our segment revenue. US revenues grew 5% organically with most of this increase primarily coming from our analytics and data feeds products. International revenues increased 8% on an organic basis with strong performance from our Asia Pacific region. ASV increased to $1.28 billion at the end of our third quarter. Starting with this quarter, we are excluding professional services fees from our as reported ASV metric as these service fees are not subscription based. They were previously included in ASV. Our recent acquisitions in particular BISAM and FDSG have given rise to higher professional services fees. Professional service fees billed during the last 12 months totaled over $16 million. Had we included professional service fees, our as reported ASV would have been $1.3 billion. Organic ASV increased 6% year-over-year and approximately $10 million since the last quarter. This increase was primarily driven by international client price increases of $5 million and new sales partially offset by cancellations. Moving down the income statement, let's take a look at our operating expenses. Operating expenses for the third quarter totaled $225 million, an increase of 30% year-over-year primarily driven by our recent acquisitions. Third quarter cost of services expressed as a percentage of revenues increased slightly by 360 basis points compared to the year ago period. The increase was driven by higher compensation cost, depreciation and amortization expense and data costs. Higher competition costs were due to base salary changes and incremental hires in our centers of excellence in India and the Philippines, as well as our recent acquisitions. SG&A expenses expressed as a percentage of revenues were down 60 basis points compared to the third quarter of fiscal 2016, the decrease was primarily a result of lower employee compensation due to the sale of the Market Metrics business in the fourth quarter of fiscal 2016, partially offset by acquisition related costs. Our GAAP operating margin decreased 300 basis points year-over-year to 28%, primarily due to the acquisition related cost and the deferred revenue adjustment. Our adjusted operating margin was 32% which was at the higher end of guidance. Our current year annual effective tax rate was 25.5%, a decrease from 28.4% a year ago, primarily due to FactSet's global operational realignment effective September 1, 2016. Adjusted EPS grew 13% to $1.85 at the high end of our guidance. Free cash flow which we define as cash generated from operations less capital spending for our third quarter was $84 million, a decrease of approximately $4 million from the same period last year. The decrease was the result of a lower tax benefit from a reduction in stock option exercises and timing of vendor payments, partially offset by an improvement in cash collections. Excluding recent acquisitions, our DSOs decreased from 40 days at February 28 to 38 days at May 31. The BISAM and FDSG acquisitions also impacted our client count this quarter. The third quarter client counts stands at 4,692 up 225 from our second quarter. This increase includes 117 clients from these acquisitions. As Phil stated, the integrations are going well and we have made good progress in combining product and sales teams. Both BISAM and FDSG were accretive to adjusted EPS by $0.01 and $0.03 respectively for the third quarter. In fact, FDSG is ahead of our initial expectations as we guided you to $0.03 for the remainder of the fiscal year 2017. BISAM is in line with our initial guidance of $0.02 accretion for the remainder of fiscal 2017. BISAM added $25 million to ASV this quarter and FDSG added $63 million. Both amounts exclude non subscription related ASV. Moving on to our share repurchase program. We repurchased 300,000 shares for $48 million during the third quarter under our existing share repurchase program. We remained committed to returning capital to shareholders and maintaining a balanced capital allocation framework. Now let's turn to guidance for the fourth quarter of fiscal 2017. For the fiscal fourth quarter we expect our GAAP revenues to be in the range of $321 million and $328 million. The midpoint of our organic revenue 5guidance is 5.5%. Our GAAP operating margin is expected in the range of 28% and 29%. Adjusted operating margin is expected to remain in the range of 31% and 32%. Similar to last quarter, the annual effective tax rate is expected to be in the range of 25% and 26%. GAAP diluted EPS is expected to be in the range of $1.67 and $1.73. And adjusted diluted EPS is expected to be in the range of $1.86 and $1.92. The midpoint of the adjusted diluted EPS range represents 12% growth over the prior year. In summary, we remain confident in our ability to return value to our shareholders. We are focused on top line growth as well as our cost structure. We believe in the long run, that there is leverage in our business model as we integrate our recent acquisitions and realize cost synergies going forward. Thank you for your participation in today's call. We are now ready for your questions.
Operator: [Operator Instructions] Your first question is from Tim McHugh from William Blair.
Stephen Sheldon: Hi. Good morning. It's Stephen Sheldon on for Tim. I appreciate you are taking our questions. I guess with the strong contributions from off platform and premium products, can you give us some more color on for the traditional workstation growth? I guess particularly in the US.
Phil Snow: Yes. Hi, Stephen. This is Phil Snow. Yes, so we know we definitely continue to invest in our call workstation product. It's one of our flagship offerings obviously but we are experiencing pricing pressure in the market as things become more competitive and we are out there competing for the same dollars with some of the larger providers that are out there. So as you saw in our numbers, we are growing our terminals which I think is a positive but part of what you are seeing there is that the pricing pressure for those is higher than it was historically and we are offsetting that with selling more of our value added products as well as the companies that we've acquired through M&A over the last couple of years.
Stephen Sheldon: Okay. And then just a quick follow up. I guess organically if we stripped out recent acquisitions, how would margins have trended year-over-year?
Maurizio Nicolelli : So, margins would have been comparable year-over-year. If these acquisitions that we have done over the past six months have dropped our adjusted operating margin down to 31.9%, but if we hadn't done those or if you exclude those we would be right around the historical metric.
Operator: Your next question is from Bill Warmington from Wells Fargo.
Bill Warmington: Good morning, everyone. So question for you on MiFID II just to ask about how will that impacting the business yet and some thoughts about how that potentially impacts a business?
Phil Snow: Hey, Bill. It's Phil Snow. So we actually see MiFID II was an opportunity for us. We see regulatory as an area that we have a lot of assets that we could point in that direction. MiFID II for one example with specific solution that we’ve developed is we have a partnership with the firm called ONEaccess which allowed us to integrate their suite of tools to track and value research products and services. These tools are getting integrated with our RMS suites, which includes Code Red and internal research notes, and that's going to enable users to look at corporate access events, create a research valuation framework, and carryout quantitative broker vote. So that's just one solution that we have for MiFID II which has a lot of components to it. Another one is with the Portware acquisition, we’ve developed a solution for best execution which is something that's part of MiFID II as well.
Bill Warmington: Got it. And then a couple of housekeeping items. You had mentioned on the guidance and in the prepared remarks in terms of coming in for this past quarter at $312 million and the guidance being $311 million to $317 million, and if you had adjusted for the fair value, it would have come in more around $315 million. The guidance for Q4, $321 million to $328 million, should we think -- should we be including the fair value adjustment in those numbers or that number is excluding that $2.5 million fair value adjustment? How should we think about that?
Maurizio Nicolelli: Hi, Bill. It's Maurizio. That revenue guidance is our GAAP revenue guidance. It includes deferred revenue fair value adjustment in it.
Bill Warmington: Got it. So it has the impact of the fair value adjustments, it does not have the revenue -- the deferred revenue.
Maurizio Nicolelli: It includes -- it includes the impact of the deferred revenue fair value adjustment. It is a GAAP number.
Operator: Your next question is from Shlomo Rosenbaum from Stifel.
Shlomo Rosenbaum: Hey, thank you for taking my questions. Just a follow up on Bill's question. The guidance for the current -- the quarter just reported, was that contemplating a deferred revenue adjustment in there or not because there was commentary about coming out in the middle of the range, if you would add that back above was that something that -- was the guidance assuming that you are not going to have to write anything off and therefore that's the right way of looking at it? Just trying to understand the context there.
Maurizio Nicolelli: So we went through, hi, Shlomo, it's Maurizio, so went through our purchase accounting valuation process after the acquisition closed. And when we went through that process, the deferred revenue fair value adjustment came in larger than what we had expected. And so that's why you see this -- the $312 million is at the lower end of the guidance range. And so that's why we've been very upfront with everyone on how much that adjustment was during the period.
Shlomo Rosenbaum: So just -- is it -- was it supposed to be -- were you expecting -- was it $2.5 million or you are expecting $1 million - $1.5 million, just trying to -- is the commentary that it really was exactly in the middle of the range of what you are expecting or not?
Maurizio Nicolelli: We were expecting to be lower and to be right around the middle of the range.
Shlomo Rosenbaum: Okay. Just Phil going back to some commentary you made about opportunity for leverage in the business model to realize cost synergies and things like that, is it a comment saying, hey, we are going to get back to the margins we had before? Is this the comment saying, hey, there’s margin upside from what we had before?
Phil Snow: I think Maurizio and I are primarily focused on getting the acquisitions integrated well and getting back to the margins that we had pre the recent M&A activity. I think we are -- as I mentioned in my note we are just very focused on top line growth is the most important factor for us. So if we do feel like we've made all the necessary investments to drive the high growth areas for us, that does give us an opportunity to expand margins later, that’s something I think we'll be evaluating as we work through the next 12 months.
Shlomo Rosenbaum: Okay, good. And then the professional service is getting excluded from the ASV. Can you walk us through exactly what are you doing in the professional services? And how much visibility do you have to that in any given quarter? Sounds like right now it's looking around $4 million in revenue. Is it something that when you give us the guidance on a day like today you have pretty good visibility into that or how should we think of that?
Maurizio Nicolelli: So Shlomo, it is Maurizio. Professional services revenue is really the implementation, a piece on the -- really the last three acquisitions that we made, Vermilion, BISAM, and FDSG. And so that is really revenue that is built in the implementation phase that is amortized over the life of the contract. And so we've incorporated that into our revenue guidance, but we have excluded it from ASV because it's really not subscription based revenue. And so, to be upfront and to be very transparent, we've given you both numbers. We've given you what the ASV number is and also how much of the last 12 months a professional service fees have been billed to our clients.
Operator: The next question is from Peter Appert from Piper Jaffray.
Peter Appert: Thanks. Phil can you talk a little bit about your comfort with the current business mix? Any white spaces left in terms of things that you feel you need to fill in?
Phil Snow: We feel very good about the progress we made over the last two years to fill out the portfolio lifecycle. So that slide we showed where we can go from research to portfolio management and trading to analytics, we feel that we get all of that connected, we are making really good progress. That gives us much more opportunity particularly in the larger institutional asset management client where we are seeing some of the cost pressures. Similarly, with wealth, the FDSG acquisition allows us now to go from end-to-end. Previously we were really attacking the ultrahigh net worth and high net worth part of the market, this now connects us with the affluent. S0 we feel that entire $2 billion market that sort of how we evaluate is now something that we can go after. And then lastly with CTS which I described we are really thinking about investing more in there, opening up platform and as clients look to do more things across their enterprise, that just gives us a whole host of different options in terms of unlocking more value within our clients where that building things themselves. So I think all three of those things combined with our really strong co work station, product as well as our established analytic suite. And we feel like we got lot of great options across the portfolio of products we have. Regulatory is another area which I mentioned is early days for us. But we do have a team of people that are focused on that. So I think as we move forward that's another area you'll be hearing us talk more about.
Peter Appert: So regulatory could be a focus from an M&A standpoint but otherwise what I would interpret your comments to be that a pace of M&A activity will be less going forward?
Phil Snow: We are certainly not as active as we have been in the last 24 months. So I think regulatory is an interesting area. We are always on the look for unique content with what we have now there is lots of ways for us to leverage unique content. But the current focus for us is really on integrating the assets that we have acquired over the last 24 months.
Peter Appert: Okay. Can I just sneak in one more? On the margin leverage question and getting back to prior margins, Maurizio, do you envision that being something they can happen over the course of maybe the next four quarters?
Maurizio Nicolelli: I think that's really -- that's really 4 to 8 quarters out I would say as we go into end integrate these acquisitions I'd say it's probably year or two out.
Operator: The next question is from Toni Kaplan from Morgan Stanley.
Toni Kaplan: Hi, good morning. Phil you mentioned that the CTS business is only about 10% of revenue. Just given how quickly feeds are growing versus the traditional workstation business? I was little bit surprised that's not higher. So basically how should we reconcile that and how large do you expect the CTS business to ultimately get to?
Phil Snow: It's large market. I think it's pretty well published why a number of our competitors having the space. Our offering Tony has been pointed historically at very much sort of the quant market that was a big market for us. So quant consuming and if they feed for us to do analytic, a lot of clients building application, feeding data into performance system, so we see it is a large opportunity for us. For a company of FactSet size, it does take time for those percentages to move. But we certainly are excited about that area and we are going to continue to invest more in it.
Toni Kaplan: Okay, great. And then can you talk a little bit about the competitive landscape? Are you running up against new competitors as you expand your product capabilities and also especially changing geographies as well? And anything to note on your positioning and how aggressive the market is right now?
Phil Snow: So I think the competitive landscape hasn't changed that much. As we move into areas and our competitors move into areas we kind of bump up against competitors in new ways. But it's primarily sort of the larger competitors that we've always think competing against. And a lot of niche analytics providers that we compete with our analytic suites. And I wouldn't say it so much competition but we are now I think competing with our clients for the money that they spend to build things. That sort of a new area for us. And CTS is one piece of that. When we look at the competitive landscape, FactSet traditionally is really going to win just in terms of the strength of our analytics, the quality of our content, the flexibility of our platform and the service levels that we provide. And where we are losing now where it sort of we are trading blows with people is when clients are consolidating and those pieces that we don't have. In some cases we are going to lose some or all of our business. However, as we stitch together some of the things we talked about today, that's going to provide a great opportunity for us moving forward.
Toni Kaplan: Okay. Great. And just one last quick one. It looks like sale side improved over last quarter in terms of the growth rate. I think ASV growth rate, anything to call out in terms of strength there that would be helpful. Thanks.
Phil Snow: Nothing in particular that's definitely a more volatile piece of our business than the buy side. So we are often large deals kind of swing things one way or the other. We do really well with our desktop products with junior bankers and we are beginning to see more penetration with our CTS product within the sale side. Traditionally that's something that we've really just had more success with on the buy side and with redistribution partner.
Operator: Your next question is from Manav Patnaik from Barclays.
Manav Patnaik: Yes, thank you. Good morning. My first question is around the wealth management business. Clearly, it sounds like a nice opportunity for you guys. I was hoping you could just elaborate on whether this opportunity is more than just sort of your workstation penetration opportunity? And like you gave us CTS at 10% of the business, any help on what wealth size is today at FactSet?
Phil Snow: So FDSG which is the acquisition we did, does have a number of terminals but primarily that business is really just creating very elegant portals for large banks, large retail bank. So that sort of -- they've got digital product and that's definitely a trend that we are going to see in the wealth market. So what excited us so much about the acquisition was combining that with our co workstation and analytics product which serves the high end of the market very well but as trends changed we try to get to more people having the digital solution is very helpful. And we can't-- thanks for asking on the size of wealth market. We can't give you that number today but hopefully we are showing some movement here for you guys so you can get a better understanding. And I think Maurizio and I are getting closer over the next couple of quarters to being able to break things down for you at a more granular level.
Manav Patnaik: Okay. That's helpful to know. And then just in terms of -- you mentioned analytics a bunch of times, fixed income always been a focus for you guys, any color on -- you had some of the fixed income asset, straight hands more recently, if those are the kind of things that maybe you guys have or would look at or maybe they are at the realm where you guys are targeting.
Phil Snow: I missed the second half about --sorry could you --
Manav Patnaik: Just in terms of -- you know the like -- I am referring to your book in the index businesses that just got sold. And I guess my question is your focus on fixed income and analytics particularly, is it different than that size of the book or just curious on your appetite for the M&A or expansion plans there?
Phil Snow: Yes. So our strategy really has been to integrate the benchmark providers. On the analytic side, I think we've exceptionally strong fixed income analytics for our own product. And there is interest in some cases from partners that are out there for us to help power some of that for them. So we are having some of those conversations. But we are really focused on our analytic suite and essentially being able to create an integrated solution for client that want to use multiple component. And just in terms of creating benchmark, our focus has been more on the ETF creation. So there has been multiple examples of that in press release that we've put out there that demonstrate that we got the capabilities to do that if we wanted to.
Operator: Your next question is from Ato Garrett from Deutsche Bank.
Ato Garrett: Hi, good morning. Looking forward to the fourth quarter revenue guidance or you gave us what the organic ASV growth would be at the midpoint. Wondering can you give us what the ASV contribution expectation is from the acquisitions you have closed recently.
Maurizio Nicolelli: We don't -- hi, this is Maurizio; we don't give guidance on how much projected ASV would be from the acquisitions. So we don't -- that's not on the guidance that we give.
Ato Garrett: Okay. Fair enough. Then looking at -- again going forward just thinking about a free cash flow and some of the acquisitions you've made the impact we've seen on margins, and just thinking about what that might do. Should we still see free cash flow conversion like above 100% of net income or we have a different expectations for free cash flow in the fourth quarter going forward?
Maurizio Nicolelli: I think free cash flow should range right around what we've done in the last 12 to 24 months. And I don't see free cash flow significantly changing. We still generate a significant amount of free cash flow and at time over last 12 months basis above net income. So I don't see that changing. We are still a very cash generated business.
Ato Garrett: Okay, great. And then one last one on the competitive environment. I think we saw some paperwork getting filed about another desktop provider in Nordics region that might be going public or is getting some external interest for bids. I am wondering if you see that as the -- if that was to be picked up by any of your larger competitors or they might have an impact on some of your international growth which has been -- you have driven some strong results this quarter. Just what your thoughts might be if that's a product that you don't really compete with or if it just too small to really be too relevant.
Phil Snow: Yes. I think the product that you are talking about. We see in the Scandinavian region. My understanding is it's a good product. But if that got applied by someone else in the market, I don't think that would have any material impact on our European business at all.
Operator: The next question is from Hamzah Mazari from Macquarie.
Kayvan Rahbar: Hi, this is Kayvan Rahbar filling in for Hamzah. Can you give us a sense as you guys are transitioning from desktop business from a work flow business due to capital requirements for the business changed; if the work flows oriented business gets to be the vast majority of the portfolio?
Maurizio Nicolelli: No. So it's Maurizio. Listen, our capital requirement doesn't change. It's still within our overall structure. And so that were not significantly changed one way or the other our capital investments or capital needs.
Operator: Your next question is from Glenn Greene from Oppenheimer.
Glenn Greene: Thanks. Good morning. Question for Phil. I guess broadly just about sales activity what you are seeing. You talked about cross-sell momentum picking up. You alluded to better activity within a product solution analytics. Could you just give us a little bit more color on the part of the businesses -- parts of the businesses that you are actually seeing momentum in and is there anyway to frame, it's obviously you are sort of going through somewhat of transition in your business but is there sort of faster growing part of your business, how those are growing and what proportion of the business they may represent that maybe offsetting some of the slower growth in the work stationing business.
Phil Snow: Yes. I think we've -- and we've talked about it a lot. So there is just geographically, clearly from our comments today Asia Pac has been an area that's done very well. Within the larger clients, when we are selling analytics and CTS it's going into the risk and performance team and in lot of cases into the front office or building solutions for the front office. Across -- we've a very broad suite of products and we service a lot of different clients. So we did very well again this quarter with wealth managers, with insurance companies, with hedge funds, corporates has been good for us, plan sponsors were picking up momentum. The one area that we've seen the most pressure is in our core institutional asset management clients as they are under severe cost pressure. They are focused on expense management, hiring is down and we see the flows from active to passive. So our strategy, the portfolio lifecycle strategy is most going to help those clients. So we think that we are in pretty good shape.
Gregory Francfort: Yes. So it's a good segue way to my follow up question. So the client pressures that you alluded to that you have been talking about for a few quarters. Is there anyway to frame it? Has it gotten better, worse or is it relatively stable? How would you characterize it?
Phil Snow: I think it's relatively stable. I think the trends that we've seen in terms of the asset flows and the move from domestic, international which might be one that's helping us in the wealth business. And just generally speaking the desire to see increased transparency through regulation. Those are trends that may have going on for a while and it's hard to imagine them abating in the next couple of quarters. So that's our thesis and we have a strategy essentially to capitalize on it.
Operator: Your next question is from David Chu from Bank of America.
David Chu: Hi, thanks. So if cancellations are stable, is it fair to assume that gross adds have weaken a bit like the recent quarters?
Phil Snow: Gross adds have been very consistent with what we saw the same quarter a year ago for both Q3 and Q2. In fact, in Q2 it was a little bit higher. So in both this quarter and the quarter previous we saw a material uptick in cancellations and through consolidation or through complete client failure. That's -- those of the headwinds we are facing. We've got a great product suite, we've got a great sales team with selling as much or more product than we did last year. But they are just a few things that are out of control. So we have to offset that by selling more.
David Chu: Okay. So it actually does sound like cancellations are like upticking versus being stable. Is that fair?
Phil Snow: I would say it was similar to last quarter but compared to a year ago definitely more yes.
David Chu: Okay. And this is a follow up. I know you gave unique client count for the two recent acquisitions. Can you provide a unique like subscriber count?
Maurizio Nicolelli: So we haven't gone to that level so obviously BISAM does not have this user count because their type of service. And on the FDSG side, we have not incorporated that into our user count as a lot of their users are at the lower tier of the market and it would have distorted just the overall user count for us going forward.
Operator: Your next question is from Alex Kramm from UBS.
Alex Kramm: Okay, good morning. I guess just coming back to some of the things that you were saying clearly you are transitioning to work flow kind of firm and that's growing much, much faster than their core terminal business. I guess where are we in that balance at this point? When can the work flow strong growth actually kind of start offsetting the pressures on the terminal side? I guess it's around about way of asking do you think ASV growth organically is kind of bottomed or do you feel like it's going to get worse before it gets better?
Phil Snow: Yes. There is no way to predict whether or not ASV growth will continue to decelerate. I think Maurizio's guidance or our guidance is a little bit down from where it is this quarter just in terms of the growth rate. It's going to be -- getting these assets integrated, Alex, is a multi quarter and/or multiyear thing. So I think it's not something that's going to happen overnight. But we got great suites of products to sell for all of the different kind of areas we talked about today. I think that by itself is going to help us with our growth rate. Getting the more connected over the next year or two will take it to another level.
Alex Kramm: Okay. And now that's fair. And then thus maybe just as a follow up to that. Two things that maybe minor things here but like one on the repurchasing Maurizio like that was fairly slow quarter and then also on the organic hiring, I think those growth rate I think it was 5% year-over-year, those have come down over the last couple of quarters. So I guess just thinking about those two things separately. You are not buying back as much, you are not hiring as much like what is it that mean for the near term outlook as you see it considering how weak the stock has been and as you want to capitalize on kind of opportunities from hiring perspective.
Maurizio Nicolelli: Okay. So let me take both questions separately. So first on the buyback during the third quarter. Keep in mind we used existing cash flows to purchase FDSG. So we had -- we lowered -- we had the slightly lower quarter in terms of buying back shares during the period. We are still committed to our buyback program and there are still plenty of funds within the buyback program. It's available to us to go buyback shares in the fourth quarter and also in fiscal 2018. On your second question, just -- so let me just -- can you go back to your second question [Multiple Speakers]
Alex Kramm: Yes, no, sorry, yes, I probably should have asked those separately but I wanted to stick to two questions. So, no, other side was just the hire -- that the hiring has slowed right. So the question is, is that because you don't see the opportunities out there because I think historically the hiring have supported the growth? So where does that fit in that the growth rate comes down on the hiring.
Maurizio Nicolelli: So keep in mind our third quarter we don't -- we have very little new hiring classes in the third quarter. So what you are really going to see now is our high end classes increase headcount in the fourth quarter both in the US and Europe and also in both India and the Philippines. So you will see that growth rate come back in the fourth quarter. It's a little bit more timing than anything else in terms of the growth rate on our headcount side.
Operator: Your next question is from Keith Housum from Northcoast Research.
Keith Housum: Good morning, guys. Thanks for taking my question. And it refers to recent changes on sales leadership. Is there any -- I know it's kind of early here in the change but is there anything we can point to in terms of changes that are being made that perhaps will help drive the additional growth into the future?
Phil Snow: Thanks for the question. So it's early days. The transition has been very smooth. John Wiseman is FactSet veteran, he has been here -- he is actually on his second tour at FactSet. He has been here 13 years. I worked with him that entire time and great thing about John is he has deep relationships across the entire organization as well as globally. He was running our global SPA team, Strategic Partnership and Alliances. So he had exposure to some very large opportunities and orchestrated some of the most complicated deal that we have most complex with very large client and has great experience with both the on platform as well as the CTS business. So I think John is going to bring an additional level of focus particularly to our larger account and structure our group around that which should be really helpful with our portfolio lifecycle strategy.
Keith Housum: Great. And then so you've talked often in the past by trying to get the revenue growth to 10%. And you've also talked about how it's going to be difficult to do in a current environment. Is there a need to change your long-term 10% gross margin, growth in the revenue side based on what maybe long-term challenges you have in the institutional management side?
Phil Snow: Yes. I think we are just focused on getting back to accelerating our growth rate; double digits would be great to get to. Whether or not we are going to get there in the next couple of quarter is hard to imagine that happening. But I think in the long term we definitely see the opportunity for us to grow at higher rate.
Operator: Your next question is from Joseph Foresi from Cantor Fitzgerald.
Mike Reid : Hi. This is Mike Reid on for Joe. Thanks for taking our questions. I just wanted to clarify that the 237 new users that was from the 108 organic client additions, is that right?
Maurizio Nicolelli: Yes, it's from -- it's not totally derived just from the 108 net new clients. It's from the whole client base.
Mike Reid : Okay. So is that kind of two to one number than signify the loss of user across clients or there are other dynamics there.
Maurizio Nicolelli: And there is other dynamics there right so if you are a new data feed client you are not going to be included in the user count. So you can have client that come on board, that spend more than $10,000 threshold limit that are not purchasing their traditional work station.
Mike Reid : Okay. Thanks for the color on that. And then could you give us a little bit detail on any momentum building for the FactSet web rollout?
Phil Snow: So it's still very early days there. I think I mentioned that on the last quarter. We got a new version of our universal screening engine which is getting integrated, the PA3 product we have with the portfolio Analytics 3 which is getting great momentum now across our co workstations that's going to be integrated into the web. So we've got some nice wins but it's not material -- it's not material driver of our growth right now.
Operator: The last question is from Peter Heckmann from D A Davidson.
Peter Heckmann: Good morning. Thanks for taking my call. My questions were primarily housekeeping Maurizio. So when we forecast beyond your current quarter guidance, the three most recent acquisitions adds about $103 million in ASV which you are saying there is an additional roughly $11 million to $12 million in professional services work that was included in the revenue from those but it's not included in the ASV, is that correct?
Maurizio Nicolelli: Correct. You got it.
Peter Heckmann: Okay, great. And then one quick question. What would be the percentage of revenue that's now denominated in foreign currencies with these acquisitions? And could you give us the top three?
Maurizio Nicolelli: So in terms of foreign currency, it is more than 90% of our revenues are billed in US dollar still even with these recent acquisitions. And so that really has not changed and in terms of the denomination, the biggest one will be Yen and then followed by the Pound and EURO and they are very close to be quite honest in terms of mix. But those are the top three.
Peter Heckmann: Okay. So maybe they approach to roughly 3% of revenue each -- they get you about 9% of revenue income denominated in foreign currency and that would be consistent with your comments that 90% is denominated in US.
Maurizio Nicolelli: Correct.
Phil Snow: Great. Thank you, everyone. And see you all next quarter.
Operator: This concludes today's conference call. You may now disconnect.